Operator: Good day, everyone, and welcome to the CSPi Fiscal 2020 First Quarter Conference Call. [Operator Instructions] 
 Please note, today's call is being recorded. And it's my pleasure to turn the conference over to Michael Polyviou. Please go ahead. 
Michael Polyviou;EVC Group;Managing Member: Thank you, Keith. Hello, everyone, and thank you for joining us to review CSPi's fiscal first quarter ended December 31, 2019. With me on the call today is Victor Dellovo, CSPi's Chief Executive Officer; and Gary Levine, CSPi's Chief Financial Officer.
 Before we begin, I'd like to remind you that during today's call, we will take advantage of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 with respect to statements that may be deemed to be forward-looking under the act. The company cautions that numerous factors could cause actual results to differ materially from forward-looking statements made by the company. Such risks include general economic conditions, market factors, competitive factors and pricing pressures and others described in the company's filings with the Securities and Exchange Commission. Please refer to the section on forward-looking statements including -- included in the company's filings with the SEC.
 After Victor and Gary conclude their opening remarks, we'll then open the call for questions.
 With that, I'll turn the call over to Victor Dellovo, Chief Executive Officer. Victor, please go ahead. 
Victor Dellovo: Thank you, Michael, and good morning, everyone. Since this is our first call since 2020, I would like to wish everyone a happy new year.
 To begin, total revenues for the fiscal quarter was $16.6 million compared to $19 million, slightly ahead of our internal projections. And despite the business mix, I am pleased that our gross margins improved compared to year ago quarter, despite a $2.4 million revenue decrease. I believe this reflects the investments we have made over the past couple of years to develop higher-margin products as we remain focused on driving profitability.
 Additionally, we continued to make progress on our Unified-Communications-as-a-Service, or UCaaS, and ARIA. Apart from driving our top line growth, these higher-margin offerings will have a disproportionate benefit to our bottom line.
 In a few minutes, Gary will discuss our first quarter financial results in greater detail. But first, I will review our business segments, and I'll begin today with our Technology Solutions business.
 For the quarter, our TS revenue was $15.5 million, our managed service practice, or MSP, performed well as we continue to expand our customer base as well as our current customers' monthly spend on new services due to our high customer satisfaction, which is something we track closely.
 As someone who has been in the industry for a long time, it's difficult for our investment to achieve this high level, let alone maintained. But we do this on a consistent basis, so hats off to our entire team.
 Other areas of growth, such as the cruise industry, represent significant revenue opportunity, and we currently have commitments through the next 2 quarters.
 The Microsoft practice is a steadfast performer as we experienced a 247% increase in the number of licenses in 2019. And I believe we can surpass that growth rate in fiscal 2020 based on our current trend line in addition to exploring ways to further strengthen our Office 365 business.
 Our UCaaS, which is an all-in-one service for hard and softphones, including 24/7 security and technical support with redundant data centers located in Florida and Texas, I believe we have developed something unique, a testament to our innovative and start-up mentality. Everyone at CSPi is eager to get this underway, so we can capture our piece of the pie and participate in this growing market, which is estimated to reach $79 billion in a few years.
 This is a market dominated by a few large players. However, I believe that cookie-cutter offering leaves a big portion of the addressable market open to CSPi to service. This provides an opening for small and nimble and more customer-centric companies such as CSPi. We continue to have a strong pipeline, both new and existing customers, as they appreciate our secure product, not to mention it can be customized to fit their specific needs.
 As we mentioned on the Q4 conference call, we had 2 companies performing beta testing, each over 1,000 users. I'm pleased to report one of them has signed a contract, and the other one we feel confident will sign in a few weeks.
 From their earliest days, we have recognized that we had developed something special, so we made sure our infrastructure can support the expected demand. I look forward to providing progress updates over the coming few months.
 Now I'll move over to our High-Performance Products division. Revenue for the quarter was $1 million and reflects a decline in the product revenue, primarily Myricom. However, we do expect our legacy business to improve throughout the year, which also includes anticipated royalties in the second half of the year for foreign military E-2D.
 In terms of new offerings, ARIA, our award-winning next-generation cybersecurity platform, gives us reason to be optimistic about the growth potential for HPP business segment. We have several discussions in various phases of the sales funnel, including a few that would categorize as being later or advanced stages. In fact, we are well positioned within a leading cable company and believe this could lead to multimillion dollar opportunities. As you would imagine, it's a small, tightknit community, and they all know what the other is up to. So this has opened discussions with other similar companies.
 In addition to our direct sales team, we continue to vet potential partners for our official channel program. We currently have 8 partners, and we are speaking with other several -- several others to increase our roster, which ensures a robust channel and increase our chances for success.
 In addition, you will see multiple announcements from integrations with go-to-market partners in the coming weeks. These are security vendors whose solutions benefit from our capabilities. These integrations will increase our solution impact as well as our market reach by leveraging access to these partners' customer base and prospects.
 In summary, notwithstanding the foreign exchange and anticipated ramp-up of HPP business, there were no surprises and Q1 was a solid quarter. We made progress and launched our new UCaaS offering, so we expect to see improvements over the remaining quarters of fiscal 2020, especially in the second half of our fiscal year.
 With that, I'll now ask Gary to provide a brief overview on our first -- fiscal first quarter financials performance. 
Gary Levine: Thanks, Victor. As Victor mentioned, our first quarter revenue was $16.6 million compared to $19 million in the year ago fiscal first quarter.
 The decrease in revenue is the result of a $1.2 million decrease of product revenue in our U.K. division and equal declines of $500,000 in the Myricom and multicomputer products.
 Our gross profit of $4 million, which was slightly lower compared to the year ago quarter, is due to the lower sales. However, despite our gross margin of 24% was up 100 basis points compared to the year ago gross margin of 23% due to higher combined service revenues from the TS and HPP business segments.
 Our fiscal first quarter engineering and development expense continued to trend lower at $672,000 compared to $750,000 a year ago. This is due to a reduction in contract labor required last year to help and build out the foundation of the ARIA software platform and a recovery of consulting expenses where the services were not completed.
 Our SG&A expenses in Q1 were $3.8 million compared to $3.6 million in last year's fiscal Q1. A slight increase is due to additional sales personnel for ARIA as we prepare to launch the product this year. Due to the strength in the British pound relative to the U.S. dollar and the euro during Q1, we were negatively impacted by a noncash charge of $335,000 in the quarter compared to a favorable impact of $7,000 in the year ago fiscal Q1.
 We had a tax benefit of $70,000 for the first quarter compared to a minimal tax expense in the year ago fiscal quarter. The effective tax rate for the current quarter was 11.4%. The lower effective tax benefit rate was due in part to no tax benefit recorded for the U.K. for the foreign exchange adjustment.
 We reported a net loss of $540,000 or $0.14 per share in the 2020 fiscal Q1 compared to net income of $50,000 or $0.01 per share for the fiscal first quarter of 2019.
 We ended the first quarter with cash and short-term investments of $17.6 million. Our Board of Directors has voted to pay a quarterly dividend of $0.15 per share to the shareholders of record on February 28, 2020, payable on March 13, 2020.
 In summary, we have a solid financial foundation and continue to manage our costs. We remain focused on driving our bottom line performance and to boost sales of our higher-margin products. 
 With that, I'll turn it over to the operator to take your questions. 
Operator: [Operator Instructions] We can take our first question from [ James Stewart ] with [ CSPI ]. 
Unknown Analyst: Yes. I have a question for Victor. I know the significance of a lot of the businesses and local governments who have been hacked and -- either in data stolen or actual funds, and it's a serious problem. But I'm kind of curious as to where your main focus is going to be. I know you're doing a collaboration with Palo Alto Networks. And -- but are you going to be focusing also on direct end users as the primary strategy since there are so many of them? And if so, are you going to be gearing up with additional salespeople this year? 
Victor Dellovo: We are looking to -- and we are currently talking to direct customers, either through direct contact that we have with our current salespeople or through the channel partner program that we have set up and brought on channel partners that focus in the security area, so we could have more reach. So it will be a combination of bringing on more of these security partners and hiring internal salespeople also. It will be a combination of both. 
Unknown Analyst: Do you have any plans to do any other collaborations with other IT providers in addition to Palo Alto? 
Victor Dellovo: Yes. As I mentioned in the script a few minutes ago, we'll have some new announcements coming in the next couple of weeks. 
Operator: Our next question is from Joseph Nerges with Segren Investments. 
Joseph Nerges;Segren Investments;Managing Director: Just a couple of quick questions. You did say you signed a contract for UCaaS just recently. So I'm assuming some of that revenue will start the current quarter and, of course, continue through the remainder of the year. Am I correct in that? 
Victor Dellovo: Correct, yes. As -- like I said, these are companies with over 1,000 users. We will, over the next 12 months, be bringing on different offices as they request. So it will roll out over the next year, and then the contracts either are 1-, 3- or 5-year contracts that we try to sign with them. 
Joseph Nerges;Segren Investments;Managing Director: And basically, you're saying that we signed one now, and you anticipate the possibility of the second beta test site, if you want to call it that, signing in the not-too-distant future? 
Victor Dellovo: That's correct. We're hoping within the next couple of weeks. And we'll probably have another dozen or so in the pipeline right now at various stages that are looking promising. 
Joseph Nerges;Segren Investments;Managing Director: Okay. That's great. Could you just add a -- just a teeny bit more color. You mentioned that in the UCaaS product launch here, you have some unique -- developed some unique capabilities. Could you just elaborate just slightly on what's unique that you think you've added? 
Victor Dellovo: Well, where we use the Cisco foundation for the back end, there are customers that have custom applications that they would like to integrate into the phone system, whether it's financial or automakers, for instance, where we're able to do that integration and customize it to their needs. Where some of the other players out there, it kind of needs to fit into 3 different categories, we were able to do that customization. So basically, it's truly mimicking a phone system that they would have on their own premise, but they don't have to worry about the support or the maintenance or the security around it, any of that -- those issues. 
Joseph Nerges;Segren Investments;Managing Director: That's good. Have we integrated any of the ARIA security into this product line at all? I mean it sounded like... 
Victor Dellovo: No. 
Joseph Nerges;Segren Investments;Managing Director: Not really? 
Victor Dellovo: No, not into the UCaaS. 
Joseph Nerges;Segren Investments;Managing Director: Okay. And I know that it's too early, you could probably call us, but you said you have a number of people in the pipeline or -- looking at this product line. But do you have any feel for how many people might want customization? I mean some will go with the standard package, I'm assuming. But does it look like something that might be 50% or 25%? Or you have no idea? 
Victor Dellovo: To be honest, I have no idea. We can still offer what everyone else does, but what kind of separates us from everyone else is that customization. 
Joseph Nerges;Segren Investments;Managing Director: Well, I understand that. And that's why I'm reaching for a number. If more people want customization... 
Victor Dellovo: I'm not too sure. You'd be surprised. It's -- when it's offered, they need it. So that's kind of our selling point. But in some cases, it's truly just a cookie cutter. They just need their phones. They need them to ring and that's it. So if that's the case, we'll be more than glad to help them out also. 
Joseph Nerges;Segren Investments;Managing Director: Yes. Great. And of course, what you -- in your press release, you talked about the carrier MSO, and you're anticipating a leading cable company. I assume that's the carrier MSO market we've been referring to the last several conference calls. Is that correct? 
Victor Dellovo: Yes, sir. That's correct. 
Joseph Nerges;Segren Investments;Managing Director: And you're anticipating, hopefully, something in the next -- not-too-distant future on that being signed? 
Victor Dellovo: That's correct. 
Joseph Nerges;Segren Investments;Managing Director: Also, I think you referred to -- because other people seem to be aware of what you were doing here that other people are inquiring as a result of this contact that you've made with the cable company? Or am I incorrect -- did I read that wrong? 
Victor Dellovo: Not inquiring. We're targeting based on what we do with one of the leaders in the industry. We're able to reach out and kind of let them know what other people are doing. And because I had mentioned they all know each other, it was -- it's -- the conversation just started a lot easier for the second and third companies than it was initially with the first one, so just because they all kind of follow each other in that area. 
Joseph Nerges;Segren Investments;Managing Director: Terrific. And just -- so I'm assuming was there a lot of customization involved here with this cable company? I assume there might have been quite a bit of that to incorporate? 
Victor Dellovo: Both -- I'll give more color if everything goes well, the way -- I'll give more details, let's put it that way. 
Joseph Nerges;Segren Investments;Managing Director: Okay. All right. I appreciate it. Things are moving along, and it seems to be that there's no change from the last conference call. Are you still anticipating most of this revenue will start to generate in the second half of our fiscal year? 
Victor Dellovo: Correct. 
Gary Levine: Correct. 
Joseph Nerges;Segren Investments;Managing Director: Appreciate it. It seems to be going well. 
Operator: We'll take our next question from private investor, Brett Davidson. 
Brett Davidson: Just got one quick question this morning regarding the channel partners. Have there been any of the ARIA sales through any of the channel partners yet? 
Victor Dellovo: No, we're just bringing them on board, educating right now. 
Brett Davidson: Got it. So that hasn't kicked into gear yet. 
Victor Dellovo: No. 
Brett Davidson: And so obviously, then with the guidance, that would -- that type of stuff would start occurring in the second half of the year? 
Victor Dellovo: We're hoping, yes. We'll -- the thing -- the pipeline is growing with the partners or in talking to customers. Some of the customers they've brought us into are very large organizations. So as you know, those take a little longer than some of the bin market or smaller. But they're talking to us and they're interested. So right now, we're -- like I had mentioned, we're in different phases of each sales -- depending on who the customer, there's different phases of where we are in each particular customer. 
Brett Davidson: All right. Well, I'll just try and sit here, waiting patiently, as tough as it's been. But -- next couple of quarters? 
Victor Dellovo: Yes. 
Operator: [Operator Instructions] We'll go next to [ Jonathan Hoenig ] with -- also a private investor. 
Unknown Attendee: I wanted to ask a question about the stock, which is at the higher end of a 3-year range. Do you think it's overvalued? Is the stock undervalued? Where do you get a sense of how the stock is being valued in the marketplace? I know it's not terribly liquid, but what's your comment on valuation? And why, if you could kind of go into a bit on that in terms of where the market is valuating the company right now? 
Victor Dellovo: Well, I think, Jonathan, we believe it's certainly undervalued because I think we've got a lot to offer here, but we're in a start-up phase. So I think that what we're doing is looking to get more information out to the public going forward as we have these successes going on. And we will reap the benefits within the upside of the company so that -- as we talk about these new product lines. So we believe these are intriguing areas where there's good growth and opportunity for us. But we're not known in these areas. So we're going through an educational process of educating the market of who we are and what we can do. 
Operator: And it does appear we have no further questions. I will return the floor to our speakers for any additional or closing remarks. 
Victor Dellovo: Thank you. As always, I want to thank our shareholders for the continued interest and support. Our core business remains strong, and the launching of our game-changing UCaaS and ARIA offerings is extremely exciting. Financially and organizationally, we are much stronger positioned, and we will continue to focus on the bottom line performance and drive sales of higher-margin products while managing costs to meet our objectives for our fiscal 2020.
 Gary and I look forward to sharing our progress with you on the next fiscal Q2 conference call in May. Thank you. 
Gary Levine: Thank you. 
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect, and have a great day.